Operator: Good afternoon. Welcome to WidePoint’s Second Quarter 2022 Earnings Conference Call. My name is Mathew and l will be your operator for today’s call. Joining us for today’s presentation are WidePoint’s President and CEO, Jin Kang; Executive Vice President and Chief Sales and Marketing Officer, Jason Holloway, and CFO Robert George. Following their remarks, we will open up the call for questions from WidePoint’s publishing analysts and major investors. If your questions we’re not taken today and you would like additional information, please contact WidePoint’s Investor Relations team at wyy@gatewayir.com. Before we begin the call, I would like to provide WidePoint’s Safe Harbor statement that includes cautions regarding forward-looking statements made during this call. The matters discussed in this conference call may include forward-looking statements regarding future events and the future performance of WidePoint Corporation that involve risks and uncertainties that could cause actual results to differ materially from those anticipated. These risks and uncertainties are described in the company’s Form10-Q filed with the Securities and Exchange Commission. Finally, I would like to remind everyone that this call will be made available for replay via a link in the Investor Relations section of the Company’s website at www.widepoint.com. Now, I would like to turn the call over to WidePoint’s President and CEO, Mr. Jin Kang. Sir, please proceed
Jin Kang: Thank you, operator, and good afternoon to everyone. Thank you for joining us today to review our financial results for the second quarter ended June 30, 2022. I’m excited to start by sharing that our revenue showed double digit percentage growth compared to the same period last year. And we see a strong second half of 2022 ahead of us, as we see a clear path to improve operating conditions and pending contract execution in our sales pipeline in addition to contract wins already announced prior to our call. We have fortunately begun to see signs that the macroeconomic headwinds created by the pandemic and the supply chain disruptions are beginning to subside. In parallel with the macro economic conditions beginning to turn in our favor, we have also been able to start recognizing customer opportunities that has been pushed to the right in the past several quarters. Whether new or existing clients, the amount of recent interest we’ve received from our customers has resulted in a significant amount of momentum generated for WidePoint. An encouraging piece that I want to share is that our team’s ability to upsell and cross sell our set of solutions to existing customers. As our portfolio of product has grown, once we get our foot in the door with a client, it is much easier for us to upsell and cross sell as our solutions provide a sticky and compelling value add into our clients operations. The sales team continues to do a phenomenal job of expanding the scope of work with our existing clients and remain steadfast in their efforts to ensure recapitalize on all opportunities. The encouraging status report on the sales front, our market leading DOD multi factor authentication solution, and our comprehensive managed mobility services combined with our team’s ability to continuously operate efficiently internally has helped generate this momentum. In support of operating efficiently, we have reviewed our legacy organizational roles and recently made several strategic shifts within our corporate infrastructure to further streamline and consolidate roles and responsibilities. Our plan is that focusing our resources and maximizing the efficiency of our company’s operations will help us prioritize sales and operational objectives to exponentially grow our sales pipeline, enhance internal communications, improve synergies, minimize costs, and ultimately increase our profits. That said, I’m pleased to share that we have recently promoted our very own Jason Holloway, currently WidePoint’s Executive Vice President and president of WidePoint cybersecurity solutions corporation and Chief Sales and Marketing Officer to the new role of Chief Revenue Officer. With this promotion, Jason will continue to spearhead sales and marketing as well as all revenue generating activities including M&A across all of our subsidiaries. Additionally, Todd Dzyak, President of WidePoint Integrated Solutions Corporation has been promoted to Chief Operating Officer to manage all of our organization’s North American operations. Also, Ian Sparling CEO of subsidiary Soft-ex will assume the role of Chief Operating Officer International. Again, the purpose of expanding the roles for Jason, Tod and Ian and the shift in our corporate infrastructure is to ensure that we’re able to better focus, prioritize, and bring to bear the consolidated resources needed to accomplish our company’s objectives, and execute our strategies more effectively. These changes remove the constraint from our executives being confined to a certain WidePoint subsidiary, and give them a functional role across the entire company. We believe that WidePoint has graduated on to the next phase of our corporate timelines, and are confident that giving our executive a functional focus will be the most effective way to conduct business going forward. I believe that these changes will accelerate our growth, as well as we head into the second half of this year and beyond. Additionally, this realignment comes at an ideal time as it will help us capture synergies from the recent IT authority acquisitions, and best prepare us to integrate additional entities following M&A activities. I’ll dive further into this topic later in this call. As I’ve shared on our prior earnings call WidePoint has continued to make strategic investment back into our technology. Notably our delivery system and our continuity of operations plan for COOP. On the COOP front, we continue to make progress to ensure that our capabilities meet and exceed our clients requirements. We recently tested our disaster recovery plans and verify that our processes and procedures worked successfully. We’re also investing in creating a hot COOP site to further enhance our disaster recovery capabilities. We continue to enhance our Intelligent Technology Management System, or ITMS capabilities to improve our customers user experience. We recently helped several federal agency reduce their use of physical paperwork by streamlining their property and accountability process within their ITMS instances, thereby helping them achieve some of their ESG program goals. As I mentioned in our previous earnings call, we expect the federal sponsoring agency to complete their paperwork in Q3 and move our efforts to the in process status. Also, as mentioned on our previous call, we operationalized our commercial Identity and Access Management or IAM solutions. We continue to make enhancements to our IAM solutions, which is a solution that we have been showcasing to the K through 12 institutions, bottling industry customers, banks and other commercial entities. Additionally, we have successfully designed, developed, tested and implemented our remote identity verification and certification certificate issuance process to streamline and reduce the cost of issuing digital certificates. This capability is a game changer for Identity and Access Management solution as it will now allow us to certify and issued digital certificates remotely and remove the need for our customers to physically traveled to a registration site, saving them time and money while at the same time reducing their carbon footprint. As a reminder, our IAM solution is the most secure, quantum resistant multi factor authentication solution that is certified by the U.S. Federal Government.  An encouraging note is how these investments into our products and solutions have resulted in incremental cross sell and upsell opportunities with existing customers recognize this return on investment from our time and resources being spent on investing back into our business has proven that one, our technology helps companies solve real problems. And two, there are significant business and business development opportunities that we need to ensure we capitalize on and three, Identity and Access Management is not optional. Our team is excited for what’s ahead. We have already begun to see the incremental growth in our core business heading in the right direction, coupled with the operational enhancements we’ll be making. This ultimately gives us the utmost confidence that we are setting ourselves up for greater success in the second half of the year and beyond. With that overview completed I will now turn the call over to Jason to provide you with some details on the investment we are making on the sales and marketing front. Jason?
Jason Holloway: Thank you Jin and good afternoon everyone. As Jin stated we have a robust sales pipeline and are continuing to build momentum from a business development standpoint point for both existing and new customers. The reason for this is due to a blend of several months of engagement that were pushed to the right finally coming to fruition in addition to the sales team finding cross sell and upsell opportunities with existing clients as well as investments we are making in sales and marketing that we see paying off in the fourth quarter and beyond. First, I’ll touch on some of the net new wins I am able to share at this time. One of the more recent wins we announced was for our subsidiary Soft-ex and the launch of its three analyst platforms with Three UK. A connectivity company that covers 99% of the UK mobile users with its combined 3G and 4G networks. The three analysts platform is Soft-Ex latest digital billing, communications and analytics platform that’s designed to provide customers with the ability to track mobile usage and spend. It provides billing insights so that customers can take control of communications spend via a self serve portal, and offers the option to have reports delivered straight to the clients inbox. We see this opportunity growing further as Three UK continues to grow and propagate our solution to their clients. Second, we are able to secure a new contract with a large retail bank through our subsidiary, IT Authorities. The WidePoint team also received notification of a new award from a federal bank and is currently under final contract negotiations. Next, I’d like to discuss some additional recent wins, where we’ve successfully capitalized on cross sell and upsell opportunities, utilizing our combined set of solutions. To begin, as I shared on our last call, we engaged a large sports marketing and multimedia rights holder for some of the most prestigious sports venues across the country earlier this year. Our engagement led to a contract award valued at over $600,000 with a contract period of 12 months. We see this contract continuing to expand as more sport names are added to their list of customers. I look forward to providing you updates on the growth of this customer in our future calls as well as potentially disclosing the name of this customer as our relationship progresses. Recently, our sales team was also able to successfully close a mobility management and an Identity and Access Management deal with one of the country’s leading beverage companies. Speaking of beverage companies, I’d like to reiterate the recent press release in which IT Authorities had been working with a leading U.S. beverage bottler on a month-to-month basis for a long time. As a result of IT Authorities superior service delivery and their ability to offer expanded services through WidePoint a three year managed service contract was awarded and is valued at 2.6 million. You also may have seen another press release this past Wednesday where the customer has issued us another contract for managed mobility valued at over 600,000. We see this relationship continuing to flourish and I look forward to providing you with more good news on this front. As you can see, we have a healthy mix of existing federal government and commercial enterprise customers and a multitude of prospective ones in the pipeline that we are looking to close and announce over the coming months. I am very excited for some of these contract wins to come to fruition and look forward to sharing with you all further detail when we are able. We’ve also continued to move full stream ahead with our indirect sales strategy which is to team with large, entrenched systems integrators and expand our relationships with both dominant players in the commercial and federal sectors. We have recently signed a partnership agreement with a leading in point security company contract details of which is currently being negotiated. More on this soon. A final comment from me today. I am really excited about our realignment plan. The talents of our team will be even better focused to realize our strategic goals. I look forward to my expanded responsibilities as Chief Revenue Officer and working with our team to maximize our products and sales opportunities. With that I will hand the call over to Bob. 
Robert George: Thank you, Jason. Good afternoon, everyone. I’m pleased to share the details of our second quarter 2022 financial results. For the second quarter, our total revenue increased by 16% or $3.1 million to 23.1 million from 20 million reported from the same quarter last year. For the six month period ended June 30, 2022 total revenues increased 12% or $4.9 million to 45. 5 million from 40.6 million for the first six month period last year. Carrier services revenues increased by 5% or $600,000 to 12.5 million from 11.9 million in the second quarter of last year. This is primarily due to a large federal government customer increasing the number of phone lines we manage by approximately 75%. Otherwise carrier services remain constant from the same period last year. To the six months ended June, 2022 our carrier services increased by 9% or $2.2 million to 25.4 million from 23.3 million, the same period in 2021. This is primarily due to carrier credits of approximately 1.7 million reflected in the first half of 2021 but not in the first half of 2022 and the increased demand phone lines in the federal government customer I just previously mentioned. Our managed services revenues increased by 30% from 8.1 million to 10.6 million in the second quarter of 2022 compared to the same period last year. For the six month period managed services increased by 15% from 17.4 million to 20.1 million in the same period last year. Within managed services our managed services fees remained relatively constant between this year and last year. It’s $6.7 million in the second quarter of 2022 compared with 6.6 million in 2021. However, decreases in our recycling service volumes and accessory sales approximately 1.5 million were offset by approximately 1.6 million of managed services revenue from our ITA business which was not included in the second quarter of 2021. For the six months ended June, 2022 our managed services fees decreased by 6% or $900,000, from 14.9 million to $14 million, largely due to lower device recycling and service volumes and accessory sales. This decrease was offset by approximately 3.2 million of managed service revenue from our ITA business, which was not included in the first half of 2021. In the second quarter of 2022, reselling and other services increased by $2.4 million to 2.9 million from 400,000 in the second quarter of last year. A major driver of the increase was that during the three months ended June 30, 2022, we completed a large resale of Unified Endpoint Management, or UEM software licenses to a single federal government customer, the amount of $1.7 million. Additionally, the increase was bolstered by approximately 450,000 of reselling revenues to most of the commercial customers for ITA business, which was not included in our 2021 results. In the six month period ended June 30, reselling and other services increased by 3.5 million to 4 million as compared to 500,000 last year. The increase was related to the large resale of UEM software as I previously mentioned, and approximate 1.1 million of reselling revenues from our ITA business which was not included in the first half results. Our gross profit for the second quarter 2022 was $3.3 million or 14% of revenues as compared to 3.9 million or 20% of revenues in the first quarter 2021. Gross profit for the six month period ended June 30, 2022 was approximately 7.2 million or 16% of revenues as compared to 8.7 or 21% of revenues in the first half of 2021. The lower gross margins related to market conditions we faced in the first half of the year in our ITA business and to an extent in other areas of our business as well. Namely in three areas. One, increased employee turnover as a result of the so called great resignation and higher employee replacement costs include recruiting cost and the use of more expensive subcontractors. Two, wage inflation due to the scarcity of highly sought after resources. And three, customer projects, particularly in the commercial sector, being paid due to uncertainty in the macroeconomic environment. Although we’ve taken staffing and other actions to mitigate the headwinds in the first half of the year, there’s still some uncertainty related macroeconomic environment ahead. In the second quarter 2022 operating expenses increased to 4.6 million from 4.1 million in the second quarter of last year. For the six months ending June 30, 2022 operating expenses increased 14% to 9.2 million from 8.1 million in the first half of last year. The increase in operating expense was primarily due to the investment in ITA, which added 700,000 and 1.5 million of operating expenses in the second quarter in the first six months between 2002 respectively. Now regarding the non-cash goodwill impairment. In the first half of this year, especially in the second quarter, there was a pronounced deterioration in the macroeconomic conditions that resulted in a significant decline in WidePoint’s market capitalization. This significant decline known under U.S. GAAP is a triggering event, which is defined as events both inside and outside the company that adversely impact the company, including but not limited to a contract or customer loss, new regulations, macroeconomic factors or in our case, a significant decline in the market, company’s market value. We did not observe any other factors we consider to be triggering events under GAAP, other than decline of our enterprise value. Due to this trigger event we performed an in depth review of goodwill impairment. And as a result in the second quarter, we took a non-cash goodwill impairment charge in the amount of $16.3 million. The charge does not affect cash flows, adjusted EBITDA or our bank covenants. More importantly, this non-cash adjustment had no impact on the operations of or health of our company. To the second quarter 2022 GAAP net loss was 13.8 million or loss of $1.58 per share and increase to our $204,000 loss, or $0.02 per diluted share loss in the second quarter of 2021. For the six months ended June 30, 2022 GAAP net loss was 14.2 million or a loss of $1.62 per diluted share. It decreased from net income of 381,000, or $0.04 per diluted share in a six month period in 2021. On a non-GAAP basis our adjusted EBITDA for the second quarter of 2022 was $6,000 compared to 531,000, the same period last year. For the six months into June 30, 2022 our non-GAAP adjusted EBITDA was 350,000 compared to 1.76 million in the same period last year. Shifting the cash flow in the balance sheet. Our current ratio at the end of June is 1.1 to 1 compared to 1.3 to 1 at December 31, 2021. We existed the quarter was $7.2 million in cash. And with an expanded capacity under revolving credit facility, we have 7 million available borrowing capacity. Furthermore, although we have an ATM at our disposal, we have no current plans to execute any orders on the ATM, but will be opportunistic if situations are favorable. We believe that our operating cash flows, cash on hand, available credit line and equity options give us ample liquidity. This completes my financial summary. For more details of our financial results, please reference our form 10-Q, which was filed just prior to this call. So with that, I’ll turn it over back to Jin. 
Jin Kang: Thank you, Bob. And thank you, Jason. Now, I will provide a brief update on our M&A initiatives as we remain extremely diligent in our plans for profitable growth. Not only from an organic standpoint, but also from an inorganic perspective. Our senior leadership has continued to be prudent and meticulous in vetting M&A candidates. In particular, we are keen on companies that have a robust mobility presence, as our goal is to establish a leadership position in the trusted mobility management sector by acquiring additional capabilities. Our team remains heads down and steadfast in ensuring we find the right companies to accelerate our inorganic growth strategy. We will keep you apprised of any new developments on this front. Longer term as we engage in more M&A activities, the realigned organizational structure I share with you at the beginning of my remarks will help us integrate acquired entities more smoothly. The acquire entities operations can be combined with WidePoint’s operations based on function rather than operating as a standalone entity. In this way redundancies can be identified and streamlined quickly. And this model will also increase synergies and improve communication post merger. This concept in a scaled manner would effectively help us run a more lean and efficient operation operating process. Given that we continue to pursue the M&A path. Our company has decided to pause the company’s stock repurchase program for the time being, as we will want ample liquidity heading into any potential transaction. Finally, as disclosed in our earnings release, we’re confident in our team’s ability to reach the previously shared revenue and adjusted EBITDA guidance figures. However, we are guiding towards the lower end of the adjusted EBITDA range provided in our last earnings due call due to market conditions and company’s performance in the first half of 2022. And in response, we have removed redundancies and a realigned organization based on function as discussed earlier in my remarks, and exited the second quarter on a strong footing in terms of our financial and operational performance. We also see this trend continuing for the second half of this year and beyond. I’m happy to share that our streamlined and realigned organization is working well. And it is already bearing fruits in terms of new contractors, new customers that Jason spoke of. I’m also happy to share that our customer purchasing activities are increasing, as exemplified by the recently announced awards to include Three UK, a premier sports marketing and multimedia rights holder, a regional retail bank, a federal bank, two contracts with a leading bottling company, and of course, our U.S. Coast Guard award. They’re also pending awards, that is an additional sign of increased purchasing activities by our prospective customers. We will announce those wins as soon as the ink is dry. Our new role of Chief Revenue Officer has made a real positive impact on our sales pipeline. Our sales pipeline now includes material opportunities that even winning one such opportunity will have a material impact on our managed services revenue in 2022 and beyond. Our long term outlook is supported by a robust sales pipeline, and recent contract awards. I look forward to announcing that we have closed on these material sales opportunities as they come to fruition in the near future. In conclusion, as we continue to proceed into the second half of 2022, we are on a path of improved operating performance and conditions with significant momentum. We remain laser focus on our plan for profitable growth through organic and inorganic means, and are at the brink of several impending milestones. As always, we sincerely appreciate the dedication from our employees and support from our investors and look forward to providing you all with additional updates. With that said, we are ready to take questions from our analysts and major shareholders. Operator, will you please open the call for questions?
Operator: Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question is coming from Barry Sine from Spartan Capital Securities. Your line is live.
Barry Sine: First of all, congratulations on all the new contracts and especially congratulation to Jason for a well deserved promotion. Although now you’re going to be responsible for making the revenue numbers. So not sure if congratulations or condolences are in order. But we have faith in you.
Jin Kang: We’re confident. We’re confident. We have faith in Jason as well.
Jason Holloway: I appreciate it Barry, thank you. 
Barry Sine: The contracts that you announced whenever you guys announced the contract, the key question in my mind is always is this a renewal? Does this just replace revenue that you’ve already been receiving? So for example, was Coast Guard always part of DHS? And that’s just a renewal, or isn’t this an addition? And a lot of these other ones executed 53.2 million in contract actions. Is that renewals? Or is that new contracts? And then I guess IT Authorities that sounds like a brand new contract.
Jin Kang: Right. So it’s a few things. In terms of the Three UK that wasn’t existing customer. But we just recently rolled out a new digital billing and analytics portal. And then it’s going to now open up the portal to more of their customers. So that is a net new win. The premier sports and marketing multimedia rights holder, that’s a new customer through our IT Authorities acquisition. The regional retail bank is a new award. The Federal Bank is a new award. Two contracts with leading bottling companies one is an existing one. And then there was actually two smaller actions that were new. The one that was 600K, that was announced that Jason covered in his remarks knew. And of course, the U.S. Coast Guard was an existing customer, but they renew for the entire period of performance of the contract of the CWMS contract. And there is annual escalators built into that. So that would also represent some as new revenues.
Barry Sine: High class problem to have so many contracts to keep track of. And then continuing on the topic of contracts you mentioned that there’s a number of whales out there, I think you use the word material sales opportunities. When you use that word, how do you define material?
Jin Kang: We define material, as anything that’s going to add 20% or more in terms of our managed services revenue. So you have, just to clarify that you have multiple contracts each of which, if you won them would increase managed services by at least 20%?  We have multiple such opportunities in our sales pipeline.
Barry Sine: Okay And then Bob, on the -
Robert George: Some of them even bigger. Some of them even bigger Barry.
Barry Sine: I am waiting for the press releases. Bob, on the goodwill impairment, I appreciated the explanation. I think you did a good job explaining that even I think understand it. Could you walk us through the math? Is that charge primarily result of using a higher interest rate in the DCF on the goodwill, or is it something else? 
Robert George: It’s a combination of a couple of factors. One, the delta between the market cap and the DCF narrowed significantly when we ran the analysis, so we had a less implied premium to reconcile to, but then yes, there’s a higher interest rate. And there’s less cash flows, not materially less, but there are less cash flows in the out year forecast as well. So it’s a blend of higher cost capital, higher interest rate and slightly less cash flows. But like, not much on the cash flow side. 
Barry Sine: And, Bob, thank you very much for I noticed the queue is out right on time, right at the dot 4 o’clock. They’re very helpful. Next question, you guys use the term macroeconomic headwinds. And you mentioned that you’re seeing them suicide. If I look at the, when I first read that I look at the broader economy. I was wondering what you were talking about. But then in the script it sounds like what you’re talking about, I know, a key issue with you has been a handset vendor, not being able to ship quantities and if you couldn’t get new handsets, you couldn’t fulfill contracts and meet revenue. Am I correct? That’s kind of the key macro headwind that subsiding is availability of handsets. 
Jin Kang: That is one impact that we had we have been managing that process. There were some accessory equipment, providers that sort of closed their doors and we don’t know if they’re going to open them again, but we did we were able to find alternative sources. But what we were pointing to in terms of macroeconomic headwinds is that a lot of the acquisition portions of the organizations especially in the commercial side, they have been hesitant to make new awards, but we see that slowly changing as we are seeing additional awards and various acquisition parts of the organization starting to reengage with us and so we should see more of that. Then the other macroeconomic headwinds that we talked about that Bob covered in his remarks was the increase in staffing cost that is continuing to increase due to the great resignation. It has been a challenge for us to manage that. But as I said, that’s why we went into the realignment, and we exited the second quarter on a very solid footing.
Barry Sine: And then, in the release, you also talk about strategic organizational shifts. Could you be a little more specific exactly what you did? Did you reduce headcount? Did you go to new software programs? Did you reduce office space? What exactly did you do in that organizational shift?
Jin Kang: In terms of the organizational shift, we’re going from a more project based organization, to a more function based organization, and so we’re consolidating all of the activities of sales and marketing and revenue generation under Jason, and then we’re consolidating all of our operating arms into under Tod and Ian. And as a result of that, we reviewed various positions that were vacant, and we have not filled those. Some of these things that our cost of staffing has decreased through natural attrition which we will not refill.
Barry Sine: So just to ensure that I understand that correctly, it sounds like previously, project based you had multiple silos with separate sales forces. Now you’re going to a single sales force single other functions, and you can eliminate some overlap that way. Does that sound fair? 
Jason Holloway: Yes. Barry, this is Jason. That’s actually spot on. 
Barry Sine: My last question, Jin. You had a section on M&A in the script. It was long on acronyms and long on adjectives and kind of short on specifics? So do you currently have anything live in the pipeline that you’re looking at? You’re negotiating with? And in the past, on M&A, one of the things you’ve talked about is, you saw plenty of opportunities, but you thought that the prices they wanted were unreasonable from your perspective with the macroeconomic changes. Has that changed? And do you in fact, have any live prospects that you’re working on now? Or is it just more optimism, but no real prospects?
Jin Kang: The answer is multi part answer, because it was a multi part question. So I think the companies that we are evaluating are looking for evaluations, that our we believe that is unrealistic. But there are companies that are out there that we are considering that are within what we believe is reasonable. And so we’re continuing down the line. We have various opportunities that we are chasing, and we are chasing those opportunities that are specifically in the trusted mobility sector that’s going to deepen our capabilities there. And I’m hesitant to say anything additional to that. Because with these M&A activities, you never know, whether things are going to happen, whether they’re going to not going to happen, whether we’re going to get to the altar ultimately. So I think we should leave it there. But we our heads down, as we said, in our M&A activities, and we’re charging full speed ahead.
Barry Sine: So, just to follow up on that. In the past, I think you and others, have seen competition from private equity buyers, who had been willing to pay premiums. Are you seeing that type of competition decline a little bit in terms of looking at opportunities or are they still out there?
Jin Kang: I think that people are because of the macroeconomic headwinds I think there are less competition out there that we see. But that doesn’t mean that there isn’t competition for these folks. And so we want to be very careful about saying what we’re looking at or who we’re looking at, because we don’t want to have that competition. And so I don’t want to say too much about it other than we are seeing some success. We see sort of bright spots within our M&A activities. And we’re going to continue chase after them. And as soon as we have something serious to announce, we will put it out there as quickly as we can.
Barry Sine: And just to go full circle, we started out my Q&A on new contract wins, tying that into M&A a number of those contract wins came via ITA. So the revenue synergy, that’s often mythical, when you hear companies announce deals, in your case is actually coming to bear. So now that you’ve done it once, and I assume you’re very pleased with that. Are you a little more confident in looking at acquisitions in projecting synergies?
Jin Kang: Yes, definitely. And I think that there’s a lot of opportunities that we had in terms of upsell and new customers. I think that we feel more confident in that those synergies coming to fruition. Jason has a whole lot more detail on all of the items. So Jason, did you want to add additional highlights to that?
Jason Holloway: Yes, sure. Barry, the one thing I did want to say is that with regards to IT Authorities, once we got past all of the integration tasks which took a tad longer, we as you can tell by what we reported, we are certainly hitting a stride. I mean the ability to cross sell, and upsell, which IT Authorities has been great, and as always, we’re cautiously optimistic that this is going to continue, and they’ve got a fairly large presence within the current pipeline. And of course with all of the future candidates that we’re looking at for M&A I mean obviously, we would love to be able to have that same type of synergy. So we’re definitely reviewing a number of [Indiscernible] and we’ll see where it takes us. 
Operator: Thank you. [Operator Instructions] At this time this concludes Q&A session. If your question was not taken, please contact WidePoint IR team at wyy@gatewayir.com. I would now like to turn the call back over to Mr. Jin Kang for his closing remarks.
Jin Kang: Thank you, operator. We appreciate everyone taking the time to join us today. As the operator mentioned, if there were any questions we did not address today, please contact our IR team. You can find their full contact information at the bottom of today’s earnings release. Thank you again and have a great evening.
Operator: Thank you for joining us today for WidePoint Second Quarter 2022 Conference Call. You may now disconnect.